Operator: Good day, everyone and welcome to today's Clear Channel third quarter 2006 earnings release conference call. As a reminder, this conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Senior Vice President of Investor Relations, Mr. Randy Palmer. Please go ahead, sir
Randy Palmer: Thank you, operator. Good morning and thank you for joining us for the Clear Channel Communications and Clear Channel Outdoor third quarter 2006 conference call. Joining me today for the call are Lowry Mays, Chairman; Mark Mays, Chief Executive Officer; Randall Mays, President and Chief Financial Officer; John Hogan, Chief Executive Officer of Clear Channel Radio; and Paul Meyer, Global President of Clear Channel Outdoor. Mark will open up the call and be followed by Randall; and after Randall's comments, we will open up the lines for questions. Let me note that statements made during this call may contain forward-looking information. These forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company to be different from any future results, performance, and achievements expressed or implied by these statements. The following important factors, among others, could affect future results, causing these results to differ materially from those expressed in our forward-looking statements, such as: changes in general economic conditions, both domestically and internationally; industry conditions; fluctuations in exchange rates and currency values; capital expenditure requirements; and legislative or regulatory requirements. A complete list of risks and uncertainties are noted in the Clear Channel Communications and Clear Channel Outdoor securities filings and the press releases that were released this morning. If you did not receive a copy of the releases please contact our Investor Relations department at 210-822-2828 or go to our website at www.clearchannel.com or www.clearchanneloutdoor.com. A replay of this conference call will be available for 72 hours. I will now turn the call over to Mark Mays.
Mark Mays: Thanks, Randy and good morning, everybody. Thanks for taking the time to join us on this beautiful Monday morning for the Clear Channel Communications and Clear Channel Outdoor call. I am going to review each of the operating segments, including commentary on Clear Channel Outdoor, and after I have completed my opening commentary I am going to pass it to Randall for a review of some of the highlights of the company. We are then going to open it up to Q&A. I would like to begin my discussions this morning by reviewing our announcement that was made last Wednesday, October 25. The company confirmed that its board of directors is evaluating various strategic alternatives to enhance shareholder value. It was also noted that there could be no assurance that this process will result in any specific transaction and the company does not intend to comment further publicly with respect to the exploration of strategic alternatives unless a specific transaction is approved by its board. I would like to make it clear that we will not comment any further regarding last Wednesday's announcement during this call. We are unable to address any questions or commentary regarding this evaluation of strategic alternatives and ask that you please respect that. In fact, as the evaluation continues, we will not be commenting on anything that is non-operational. The focus of this call will be the company's third quarter results, the fourth quarter and operational discussions. Now let me review each of the company’s performances during the quarter. For the third quarter of 2006, Clear Channel Communications reported revenues of $1.8 billion which represented year-over-year growth of 7%. OIBDAN which we define as operating income before depreciation and amortization, non-cash compensation expense and gain or loss on disposition of assets, was$595 million or 10% year-over-year growth. Net income for the quarter was $86 million, or $0.38 per share. Clear Channel Outdoor reported $720 million in revenues or 8% year-over-year growth for the third quarter. OIBDAN was $204 million, reflecting year-over-year growth of 18%. Net income for the quarter was $32 million, or $0.09 per share. Now let me turn it over to the operating divisions and go through them. First radio. Radio revenues grew 5% during the quarter. The radio segment saw revenue growth across all its revenue streams including local, national, network traffic and the Internet. National was stronger than local during the quarter. While our third quarter was strong, September was weaker than the other months. However it is clear, at least as we see it today, that the month was not necessarily a good barometer for the remainder of the year. We are currently pacing up 8.8% for the fourth quarter which we feel really good about. Categories that were good include automotive and entertainment. As we have noted throughout the year, we expected radio expense growth to be in the 3% to 3.5% range, for the year with higher growth at the beginning of the year versus the back half of the year. We still believe that we will see relatively lower expense growth in the back half of the year versus the first half; however, based on our current revenue pacing for the fourth quarter, there is now a chance that it may be above that range of the year. Moving to the Outdoor sector, at Clear Channel Outdoor, during the third quarter we continued to experience growth in our outdoor business, both for the Americas and internationally. As noted in my opening comments, reported Outdoor revenues increased 8% during the quarter and OIBDAN growth after corporate for Clear Channel Outdoor was 18%. The Americas business experienced 12% revenue growth and 14% OIBDAN growth during the quarter. The growth was led by our bulletin airport businesses. Top categories during the quarter included autos, business and consumer services, entertainment, insurance and retail. Internationally, reported revenues were up 4% for the quarter with OIBDAN growing 33% for the quarter. Our street furniture business led the way with good growth in Spain, Denmark, Turkey, Norway, Africa and Belgium. As we look into the fourth quarter, the Americas business is currently pacing up 9.2% and the international business is pacing flat. It's important to note that all pacing information is given excluding any foreign exchange effects, so it is on a constant dollar basis. We have noted during the year we expected outdoor expense growth to be in the 2% to 3% range for the year. As with radio, if we see accelerated growth during the fourth quarter, there is now a chance that it may be above that range for the year. As you know, our international business was weak in the third quarter. However, as we look into the fourth quarter we feel that most all of the countries that were weak in the third quarter are having much better fourth quarters. The only country that has not improved dramatically is the UK and we would expect the UK to turn around in the first half of 2007. Moving to the television and other category, that segment also had great performance during the quarter with overall revenue growth for the segment of 10% and OIBDAN growth of 30%. As you can see, we were extremely pleased with the third quarter results for both Clear Channel and Clear Channel Outdoor and we hope to see that continue into the fourth quarter and into next year. With that, I will turn the call over to Randall.
Randall Mays: Great, thanks Mark. I have just a couple of quick highlights and then I will turn it over to questions. I will go through Clear Channel Communications first and then Clear Channel Outdoor. Looking at Clear Channel Communications, CCU’s long-term debt at September 30 was $8.1 billion with leverage, defined as debt net of cash divided by trailing 12-month EBITDA, of 3.7 times. CapEx for the second quarter was $84 million for CCU with $59 million related to Outdoor. We still expect our 2006 CapEx to be in the $350 million to $360 million range for the year. Now looking at Clear Channel Outdoor, total debt for CCO at September 30 was $2.7 billion with leverage, defined as debt net of cash divided by the trailing 12-month EBITDA, of 3.3 times CapEx for the quarter was $59 million for CCO. We expect our 2006 CapEx to be in the $230 million to $240 million range for the year. With that I will open it up for questions. For those of you who may not have been on the call right at beginning and did not hear Mark's opening commentary, we will be unable to address any questions that relate to the evaluation of strategic alternatives and we sincerely request that you respect that when you ask your questions. With that, I will go ahead and open it up for Q&A.
Operator: (Operator Instructions) Your first question comes from Victor Miller – Bear Stearns.
Victor Miller: Thanks for taking the questions. First question may be for John. What do you see driving the 400 basis points of differential between 4Q pacing and third quarter actual? On the expense side Randall, you expected 3% to 3.5% for the year for radio, which would have implied you would have to be flat for fourth quarter. Now you're saying mildly higher. Are we talking low single-digit type of expense growth for the fourth quarter? Does the 9.2% domestic outdoor include Interspace? Thanks.
Mark Mays: Interspace, we always give our pacings on a pro forma basis. So it would not be on a reportable basis, that 9.2% increase. I think that was the question, correct?
Victor Miller: Exactly.
Mark Mays: The expense side for radio, it will be varied, dependant upon our revenue increases. So at this time it's difficult for us to pin that exact number down because we don't know where our revenues will come out. You should anticipate that as we perform better that our expenses are going to be over a little bit more than we expected, and if not, then we should come in line with what we expected. So a lot of those are going to be dependent upon the revenue, which is driving clearly some of the variable expenses associated with it. The final comment I'll make, Victor, before I turn it over to John, is with regard to revenues for the radio sector.  I think the comment is what are we seeing and why are we performing so much better?  I think one of the things that I would tell you is that, again, we look at ourselves different than the rest of the radio industry. We believe that we have a platform, that we have management that is focused on being different than the rest of the radio business. We look at ourselves more than just an analog spectrum that is broadcasting to  100 million listeners each week. We are really focused on additional revenue streams and our platform and our people are focused on developing those additional revenue streams. So with that, obviously we're starting to see that in the numbers, and with that I'm going to turn it over to John.
John Hogan: Thanks, Mark. Good morning, Victor. I think what I would add to Mark's comments is that what you're seeing in Clear Channel Radio is increased momentum. As Mark indicated, we really are differentiated from the rest of the industry in specifically that we have a different platform, and we offer more and different opportunities for both our listeners and our advertisers. As it relates to revenue opportunities, we're offering different spot lengths, different spot positions, different spot prices. We're offering a wide variety of innovative, creative ways for our advertisers to connect with our listeners. It is not just using the great terrestrial platform that we have. It's using that platform in combination with our on-line opportunities, which continue to grow. It's using both of those with the really innovative, creative ideas that our management team and sellers have been working on. I think to say it really simply, we offer more and better opportunities and solutions for advertisers. We have more and better managers and sellers on the street, and I think that what you're seeing is that momentum manifested in increased revenues.
Victor Miller: Thank you very much.
Operator: Your next question comes from Jonathan Jacoby - Banc of America.
Jonathan Jacoby: Hi. Nice quarter. Two questions here. The first is if we look at your summer book ratings, 25 to 54 seems to be down about 5%. Curious as to your thoughts on what's driving this?  We've seen the first two books post, less is more, we're down about 1 but are we hitting perhaps the end of the ratings benefits, in your opinion? Just want to hear your thoughts there. Secondly, can you give us a little color on the fourth quarter in terms of the plus 8.8? So is October/November stronger than December? Any color you can give us would be great.  Thank you.
Mark Mays: I'm going to turn it over to John with regard to fourth quarter versus third quarter. As we said, September was a little bit of an anomaly. We're not sure exactly why, but it was softer than all the months. So I think that also explains a little bit of the difference as we look into the fourth quarter and that was true across lots of our business lines. So as we look into the fourth quarter, we're seeing all October, November and December with strong pacings, and therefore, that could be a little bit of the differentiator with regard to the fourth and the third quarter as well. With regard to the ratings, I'm going to turn it over to John.
John Hogan: Great. Before we talk specifically about the summer declines, let me put a little context around the summer ratings. We have really very, very good ratings performance. If you look at the top ten markets, we're the number one rated cluster in nine of those ten markets. If you look at the top 25 markets, we are the number one rated cluster in 18 of the top 25 markets. We have some of the most listened to radio stations in America, and we have lots and lots of instances where we have seen rating gains. However we do, as you noted, have some areas of erosion. Those are of concern to us. Most notably we've seen that erosion on our AC stations over the past summer, and we've seen it also on our Hispanic stations. We are aware of that. We have done a fair amount of research into that, and we are getting into action on those stations which have seen erosion, just like we have done on other stations over the years. As it relates to LIM, I would suggest pretty strongly that there are many factors which go into the ratings, and that the settling that you're seeing in some of these numbers is not attributable to LIM, it is more attributable to a number of other competitive factors, our own execution, really a wide variety of things. We believe that LIM continues to be a huge benefit for our listeners. Again, it gets back to that basic premise that if we give more of what listeners come to radio for, if we give them more of the entertainment, the information, the companionship, they are going to stay with us longer. We're certainly seeing that in a lot of instances. In this summer book relative to last year's summer book we have seen some erosion and as I mentioned, we have identified it and we have our team of programmers very focused on that and we expect improvement as we move forward.
Jonathan Jacoby: Mark, just quickly to follow up on the first question, if you look historically, at least the last political cycle, radio operators including yourselves spoke about 300 basis points coming from political. I guess that's what I'm trying to go after. How much do you think political is benefiting the fourth quarter?
Mark Mays: That's a great question, Jonathan. And if you look at it, we believe that political will add in the fourth quarter over prior year somewhere between $12 million and $15 million. So if you look at it that is not a significant amount of dollars. It is some. If you look at it though, we also had had an incremental $6 million or $7 million, maybe even as much as $8 million in the third quarter. So it's not a significant amount, number one. Number two is, I would tell you maybe it's 100, maybe 150 basis points of that 8% to 8.8%. So it's not like television, which is a huge amount of the increase. It is a minor position. It is clearly a wind to our back, but not a major component.
Jonathan Jacoby: Thank you.
Operator: Your next question comes from John Blackledge - JP Morgan.
John Blackledge: Thanks for taking the question.  First, you outperformed the industry by about 500 basis points; so far this year it looks even better than that with your fourth quarter pacings. Looking out to '07, do you think the company can achieve top line growth above the industry by X number of basis points? Then just a quick reminder on expected online revenue in '06 and where you think the company is at in terms of monetizing your online initiatives. Thank you.
Mark Mays: A couple of questions in there. Let me just kind of give a brief overall statement for the overall company as we look at 2007. If you look at it, whether it's radio or outdoor or television, we're having great conversations with our advertisers. As you can imagine, we believe our platforms and our assets are great and people are realizing that. We have been doing creative and different things, whether it is different spot lengths in radio or digital networks and outdoor, we're doing a lot of different creative things. We're having great conversations with our advertisers, and there's great activity level for 2007. That being said, it is only October of 2006 and it's difficult for us to opine on how we're going to perform as we get into 2007. We're clearly, as we said in radio, we're trying to distinguish ourselves from the rest of the industry because of the different revenue streams that we're enticing. We won't know until we get into next year how that basis point differential will be as you just described it.
John Hogan: John, as it relates to online, we continue to be very encouraged and really very enthused both on how we're doing from a programming and audience standpoint as well as how we're doing from monetizing that growth in our audiences. The Clear Channel online music and radio team has done a terrific job and continues to do a terrific job of building very rich, highly differentiated websites. We see our traffic growing incrementally, week to week, month to month, quarter to quarter, and we see our revenues growing. In fact, our Internet revenues are one of our fastest-growing streams, and we expect that to continue as we move into Q4. As Mark commented about 2007, it really is very early, but what I would tell you as a specific point of differentiation is that we are sitting down with more advertisers -- not just agencies, but more advertisers -- talking about more ways for them to generate results. With those advertisers and agencies, we're talking about a variety of ways of exploiting the entire Clear Channel platform, which is our terrestrial platform, our online platform, and the outstanding team of programmers and sales managers behind it.
John Blackledge: Thank you.
Operator: Your next question comes from Anthony Diclemente - Lehman Brothers.
Anthony Diclemente: Good morning and thanks for taking the questions. I just have a couple of straightforward questions. What was your total minutes of advertising growth in the third quarter versus last year? If you can't give numbers that are quantifiable, if you could just give us directionally, is it more minutes total, less minutes, or about the same? Secondly, on the outdoor business, what is the revenue multiple that you're seeing on your digital billboards relative to your static billboards? If you could just remind us how many digital billboards you expect to have rolled out by the end of '06, I would appreciate it. Thanks for taking the question.
John Hogan: As it relates to the minutes, I won't give you specific numbers but I will tell you that we employed fewer commercial minutes in Q3 of 2005 than we did in 2006, and we had a higher yield.
Anthony Diclemente: Fewer commercial minutes in 2005 than 2006?
Mark Mays: You said 2005.
John Hogan: I'm sorry, fewer commercial minutes in 2006 than in 2005, and a better yield in 2006 than in 2005.
Anthony Diclemente: Okay. On the digital billboard?
Paul Meyer: First, let me just say that we have very, very active plans in each one of our markets to roll out digital networks. In fact, given the success we've had with those markets where we have already rolled out the digital networks, those markets also have active plans to roll out second networks. But to give you a little more color on what the success has been, as you know, the first network we rolled out was in Cleveland. In Cleveland, we rolled that network out in July of last year. In the 12 months prior to conversion to digital signage, Cleveland generated approximately $380,000 on the seven locations that were converted. In calendar 2006, we will generate $3.5 million on those seven locations. Vegas, which was the second network we rolled out, prior to conversion, the six locations that were converted in Vegas generated approximately $260,000 in revenue. Thus far in the first year of the conversion, we generated approximately $1 million in revenue on those locations. Albuquerque rolled out at the beginning of the fourth quarter, and that, by the way, was our first network of poster-size locations. So the revenue on those ten signs was obviously lower prior to conversion than our bulletin locations were. In Albuquerque, we generated about $70,000 on those ten locations in the year before conversion. As I say, we launched that network with paid advertising effective October 1. So we're really only into our first quarter, but in that first quarter we already have on the books $260,000 in total revenue in Albuquerque. I expect that before the end of the year we will roll out another three networks, and so if you're talking about pure network digital signs, by the end of the year we'll have almost 40 networked digital signs.
Mark Mays: I think it's important to note, to reemphasize what Paul has said, is as you look at it, in all of our test markets we've been extremely successful in proving that digital is a great opportunity, and we have now done it across different product lines, and that's giving us a tremendous amount of confidence. As you said, in every single market, we have a plan, or have developed a plan on how to roll out digital. Obviously there are gating items within each market, and each market is very different with regard to the municipal ordinances in which we are allowed to roll out digital. So we are working diligently on that, but it is taking us some time to get through some of the municipal ordinances. In addition to not only having a plan in every single market, but those markets where we already have a digital network, we're also developing plans for going deeper in the market and rolling out a second network. So you should assume that we are focused on it. I know that it's difficult for you as an analyst;  you'd like for us just to give you a quick, simple, clean number of we're going to have X number of boards, and there’s going to be X number of lists on that board, but it's difficult for us to give it to you in that simplistic of a fashion.
Paul Meyer: Just one other comment on that, is although the focus of our strategy is on rolling out networks, in addition to the networks that I described, particularly in our smaller markets, we continue on a market-by-market basis to convert individual signs to digital.
Anthony Diclemente: Thank you very much for answering the question.
Operator: Your next question comes from Eileen Furukawa - Citigroup.
Eileen Furukawa: Thanks for taking the call. I'm just wondering, is part of this strength you're seeing in your 4Q radio pacings due to what you expect is a notable new movement to shorter ads? In other words, in 2Q you talked about shorter ads being 35% of inventory. What was it in third quarter and what do you think that can grow to in the fourth? Also, last quarter you said you saw rate increases across the board on 10s, 30s, and 60s. Wondering if that was still the case in the third quarter and are you still expecting that as well in the fourth quarter? Thanks a lot.
John Hogan: Here's what we're seeing: that is a better focus, not just on a particular length of commercial or not just on rate, but overall increase of our yield. Our managers are get ting more skilled and more experienced in using the systems that we have to help them price their inventory. While we are seeing an increased embrace and demand for shorter length commercials, we're also seeing better price as it relates to all of our commercial lengths. That translates into the higher yield that we have talked about a couple of different times. The shorter length commercials have expanded from just 30s and 15s to include now 5-second spots which we call adlets. In some instances, 1-second commercials which we call blinks. I would tell you very quickly that the adlets and the blinks represent a very, very small percentage of our overall inventory consumption and revenue associated with that. But I think it speaks very loudly to the fact that advertisers are finding that they can use radio, particularly the length of radio spots, in a variety of different ways. As we look into fourth quarter and really into 2007 and beyond, what I would expect is that our managers will continue to get better at managing their inventory. They will continue to get better at pricing their inventory. Advertisers will continue to see that shorter length commercials really can be deployed in a variety of ways to give them an advantage, and that we will continue to see the strong performance that we have seen.
Eileen Furukawa: Where do you think that the mix of shorter length ads can go to? Do you think you can see it moving from 35% to, say, 50% long term?
John Hogan: Where I think it will go, is not nearly as important as where advertisers think it will go. I think that what advertisers recognize is that it is harder and harder to engage consumers today, and a 60-second spot is a long time to try and keep a consumer engaged. You have seen it in television and other media, a move to shorter length commercials, and I think that advertisers will ultimately make that happen in radio. I believe the reliance on 60-second commercials will continue to decrease over time. It will decrease faster as advertisers see that you can get results and get very, very strong results from 30s, 15s, 5s and 1s. It is important to note that we will remain flexible; if an advertiser needs a 60-second commercial, we'll be happy to sell them one. In fact, we have advertisers, the same advertiser within the last year has employed everything from a 1-second commercial to a two-minute commercial. Again, I think it's one of the beauties of radio and one of the real strengths of Clear Channel, is that we have the ability to offer advertisers a wide variety of choices. I do think that shorter length commercials will continue to grow as a percentage of a deployment in consumption of our capacity and just how quickly that goes, I wouldn't want to speculate.
Eileen Furukawa: Thanks for taking the question. I appreciate it.
Operator: Your next question comes from Michael Nathanson - Bernstein.
Michael Nathanson: I have three. Two on radio, one outdoor. First on radio, I wonder if your Internet business is becoming more important to your reported results?  Can you quantify how big Internet revenues are this year at radio and how much are they up year over year?
Mark Mays: Your other question?
Michael Nathanson: September radio weakness is interesting because it's an election year. I wondered if September political spending was below previous September's election year spending. How did that look versus '04 and ’02? Lastly, why do you think the UK outdoor business will turn in the first quarter of next year?
Mark Mays: A couple of things. I am going to try to answer the radio questions, and I'll let John clean it up, then we'll move to Paul for the UK color and commentary. The Internet business is a bigger part of our business. It is by far the fastest-growing sector of our business. It is not the only revenue stream that is what we call an additional revenue stream. As we have said before, if you aggregate all those revenue streams that we call new initiatives they're less than 5%. However, we haven't quantified exactly what the Internet revenue stream is in a public environment, and I don't think we're ready to do that right here right now, today. But you should know that it is going to become a faster growing revenue stream, while not significant today, it is fast and will continue to grow. We would hope that over the next few years it becomes a significant portion of the revenue stream. With regard to political, it's never been a huge amount for radio, and today it is not as big probably in '06 as it was in '04, but probably comparable to what it was in '02.
John Hogan: Working backwards on that, you have to remember that 2006 is a mid-term election. There's just less political business out there and so our numbers for '06 are less than they were for '04 at this point. As it relates to the Internet, I think the interesting thing for us is that we view ourselves as a content creation and distribution company and we are not particularly tied to any one platform. We look at the Internet as a terrific extension of our ability to connect advertisers with listeners, and as Mark said, we have seen very rapid growth in the Internet sector for us over the last year, and I believe that we are in the very early stages of our success on the online piece. As we look into Q4 and 2007 and beyond, we expect that the online portion of our business will continue to grow and be a great complement to our terrestrial business.
Michael Nathanson: Can I ask one question, because we're trying to understand future, and the question is you said, 5% of revenues or less are spent on new initiatives. Can you quantify what the growth of those initiatives would be in '06? If five doubles to ten then mathematically we're going to be mis-modeling the company.
Mark Mays: I'm not sure that we're following that, but I tell what you may be a good thing to do, Michael, is for you to follow up with Randy Palmer after this call, who is our Investor Relations guy, and maybe he can give you some more detailed color with regard to your modeling.
Michael Nathanson: Lastly, the UK outdoor business. Why is it going to turn the first half?
Paul Meyer: First let me say with respect to the UK one of our challenges in the first part of the year was making changes in a number of senior management positions. That, unfortunately, had a little bit of a disruptive impact on our UK business overall. We now have our new management in place and that has stabilized the management of that business. But that management team has, in fact, launched a number of initiatives which we think are going to have a very positive impact, particularly on our billboard business in the UK. In the UK, our street furniture business, even in 2006, really performed quite well. Our weakness has been, and has been historically, in the billboard business. In the billboard business, on the heels of our acquisition of Van Wagner's inventory, we launched a whole new product category we call our pinnacle collection, and it's a grouping of about 150 of the most premier locations in the London metropolitan area which we are now selling as individual units as opposed to parts of networks. We're also selling those long term; we think in 2007 we'll start seeing the impact of that initiative. We also went through a very detailed evaluation of all of our inventory and categorized it in a number of different ways to enable us to target audiences and consumers much better. Principally by identifying where locations are approximate to various other types of businesses. Thirdly, even in 2006, with the UK overall performing rather weakly, we were having very good success with our local advertising. We are placing much, much more emphasis on local advertising. The UK business basically breaks down right now about over 90% national. But given the strength of our local sales force and the success they've had in 2006, we have started to release more and more of our networked inventory to that local sales force, and we expect that also to have a very positive impact going into 2007. . So overall, we think there are a number of reasons why that UK business, particularly the billboard business, will improve significantly in 2007.
Michael Nathanson: Thank you very much.
Operator: Your next question comes from James Dix - Deutsche Bank.
James Dix: My questions relates primarily to outdoor. Domestically in the third quarter, what was local versus national growth and how was local and national pacing for the fourth quarter? We've heard from some executives at the OAAA, that in their conversations with operators, the estimate is that ultimately 20% to 25% of billboard locations could ultimately convert to digital. How does that square with what you're hearing from your local managers as they draw up their plans for conversion to digital? Finally, what are your plans for the use of free cash flow at CCO, and what's your leverage comfort for that business? Thanks.
John Hogan: Let me try to take those in reverse order, James, then I'll pass it over to Paul. He can add on to it. First of all, with regard to free cash flow, you should assume that the board is going to utilize that free cash flow, what they think is in the long-term best interest of the shareholders. Secondly, with regard to the digital rollout, we would not want to sit here and have you believe that we are highly confident that we can roll out 20% to 25% of our inventory because we have 168,000 signs out there in the Americas. I think it would not be an accurate assessment for us to sit here and say we're highly confident that we can roll that out today over any period of time. One of the things that we consistently have said is that we are rolling this out and we're giving you all of the information as we get it. At this point we're not going to opine or make any predictions on what percentage of our inventory we think is achievable to roll out. We know from the information that we have given you that we can deploy capital, and we can get great rates of return associated with that. So the assumption should be that we're going to roll out as many as we possibly can but we don't know where the saturation rate is yet. With regard to local and national, I'll throw that over to Paul.
Paul Meyer: Actually, in the third quarter, our ratio of local to national changed a little bit over what has been our fairly consistent historical ratio. Our total national sales in the U.S., all markets, all products, were close to 45% whereas historically our national sales run more like 40%. We look at our national/local sales on a same-store basis pro forma, and on that basis in the third quarter, our national sales were up about 7%, local sales were up about 6.5%. So in short, we showed very, very good growth in both our national and our local sales. Our basic business plan continues to be to work very hard to grow both our national sales and our local sales.
James Dix: And are you seeing fairly similar pacings for national and local thus far for the fourth quarter?
Paul Meyer: I would say yes, I would say about the same.
James Dix: Thanks very much.
Operator: Your next question comes from David Miller - Sanders Morris Harris.
David Miller: Good morning. Just one quick question. Mark, on Clear Media, could you just profile how Clear Media performed in the quarter? I don't see that here in the press release. And could you just talk about how Clear Media is contributing to your flat pacing profile in the current quarter? Thanks.
Mark Mays: David, I'm sure you can appreciate that Clear Media is a separately traded company on the Hong Kong Stock Exchange, and we don't think it's right for us to be making any comments with regard to their performance. Clear Media will be making their own comments in due course.
David Miller: Thank you.
Operator: Your next question comes from Marcy Rudicker - Wachovia Securities.
Marcy Rudicker: Thanks, I have two questions. In radio did you see any business pushed from September into the fourth quarter? And then for Outdoor, can you remind us again of the impact you'll see in France with the repeal of the television retail ban next year?
John Hogan: Okay, Marcy. September was really an aberrant month. It was preceded by eight very strong months for us and is being succeeded by what looks to be three very strong months as well. We did not see any sort of a pronounced delay of spending from September into later months. I think it was more that it was just an aberrant month in 2006.
Mark Mays: and on France, with regard to 2007 and the retail ban, Paul?
Paul Meyer: Well, there's no question that we are going to lose some revenue as a result of that regulatory change. Right now though, frankly it's very difficult for us to quantify it, because we're actually getting some encouraging signals from some of our retail advertisers. We know that there are a couple of large ones which will be reducing their outdoor spend in 2007, but based on discussions we've had with them and with others, we also know that there are some major retailers who will actually increase their outdoor spend in 2007. We also don't think that regulatory change is going to have a very large effect on our street furniture business in France. We think it's going to be pretty much isolated on the billboard business in France.
Marcy Rudicker: Thank you.
Operator: Your next question comes from Kit Spring - Stifel Nicolaus.
Kit Spring: Hi. Can you talk a little bit about your plans, whether or not to use the portable people meter for Arbitron, or are you still excited about the prospects for a digital measurement system? Then maybe talk about where you are with HD radio and how you think about the impact of HD radio causing fragmentation versus improving the overall listening experience for consumers. Thanks.
Mark Mays: Kit, I'm going to take the second one, then I'm going to throw it over to John for the question about audience measurement. As you look at it, again, we're very focused on providing compelling content to listeners. Most people who have listened to HD radio think it is a pretty compelling and great experience. You get a lot of different formats, very unique types of formats. For example, here in San Antonio, Texas, the multiplex, the side channel of the country station, is a Texas country, which is very unique to San Antonio and is great programming. I know in Dallas, Texas, the side channel is a format that they're calling Lone Star, which is a mix. It's kind of a half classic rock, half country. So as we look at it, there is great opportunity for the radio business to continue to be innovative and continue to provide great compelling programming for listeners. So from our perspective, that's exciting to us. We think that that absolutely has the potential to reverse what has been a trend over the last ten years, people not listening to radio as long. So we're excited about that, and we think that that absolutely innovative content will bring people back to radio and will be overall a very strong positive over the long term.
John Hogan: We remain committed to improving the measurement techniques employed for radio. We think that radio generally and Clear Channel specifically would benefit from having better, more current ratings technology employed than we're seeing today with the old paper and pencil diary method. Having said that, this is important enough that we want to explore every opportunity that is out there. We want to look at every option that we can for what would eventually replace the diary method. We're looking for the best, meaning the one that will give us the most credible, accurate ratings, and we'll do it in a way that is affordable for broadcasters. And so we are very focused on exploring all of the options that are out there. PPM is one of those options. We are awaiting their promised accreditation by the Media Ratings Council. They have not gotten that at this point so there really isn't much for us to comment about PPM at this point.
Kit Spring: Thank you.
Operator: Your next question comes from Tuna Amobi - Standard & Poor's Equity Group.
Tuna Amobi: Regarding the 8.8% Q4 radio pacing, how much of that is attributable perhaps to some kind of easier comparisons on less is more? How much of that would you say is more like the normalized growth, if there's any such thing? Also on the topic of less is more, as you're now closing in on the second-year anniversary of that program, I know there’s been a lot of positive developments on that but what would you characterize as the single biggest negative surprise, if any, that you have seen with regard to less is more with the benefit of 20/20? Perhaps a financial question, for Randall. Regarding the majority profile of debt at CCU, can you update us on whether anything is coming up in the short term? At CCO, the inter-company debt; are there any attached special provisions to that inter-company debt that would kick in, for example, with regard to any change of bonus share? Thank you very much.
Randall Mays: I'll go ahead and hit those last ones. The CCO inter-company debt is callable by Clear Channel I think at any time. So I don't think there's any issue on the change of control. You know what, on that I may have misstated that, so let me get back to you on that. It matures in 2010. I thought that there were provisions for Clear Channel to call that, but I don't want to misstate that on the call. It is callable on a change of control by Clear Channel Communications, if there's a change of control in CCO.
Tuna Amobi: So you'll get back to me you say with more details?
Randall Mays: I think that if that's not accurate I will. As it relates to maturities, we do have maturities coming up that we will handle. We have $1.2 billion available under our credit facility. I think that is stated in a press release, and any maturities that we have coming up in the near term will be handled out of that credit facility.
John Hogan: Let me talk a little bit about the radio pacings and the comment with regard to easy comparisons. First and foremost I would tell you that's clearly a perception that is out there that we have easy comparisons for radio. I would simply make the point that this is the first quarter to quarter, fourth quarter 2006 versus fourth quarter 2005, where we have exactly the same amount of inventory. Therefore, I would tell you it's the most comparable with regard to like to like inventory. Number one. Number two is, as you're probably aware, that as we got through 2005 we got better and better at this every single quarter, and so the fact that we're performing better in the back half of 2006 should lead you to you believe that it's not necessarily just easy comparables but it's absolutely a great management team executing extremely well. With that I'll throw over less is more.
Mark Mays: As I look back over the last two years I think about LIM as being one of a number of changes that have been initiated at Clear Channel radio. There are negatives about Clear Channel radio in our switch to LIM, but the one that jumps out as being the biggest is that we didn't do it sooner. I think that LIM has been a terrific advantage for both our listeners and our advertisers. It has served as a catalyst for us to continue to change the way that we operate our company and to really differentiate ourselves from the rest of the radio industry and to become more than just a radio company. So if there is a most prominent negative associated with LIM, it is that we did not do it sooner because I think it has helped make us a significantly better and differentiated company.
Operator: Your final question comes from Laraine Mancini - Merrill Lynch.
Laraine Mancini: Back to digital outdoor, what is the capital cost per board to deploy now? Can you talk about the margins you're seeing on those boards relative to your traditional billboard margins?
John Hogan: I would tell you that the CapEx per board differentiates depending upon whether it is a bulletin or a poster. For instance, in Cleveland and Las Vegas, first you have to realize that there is just an overall capital for rolling out a network, and then there's an incremental amount for each and every board. The incremental amount for each and every bulletin is somewhere between $350,000 and $400,000, depending upon the vendor and the service provided from that vendor. With regard to posters and margins,  I think you should assume that it's different. So far for each one of the different markets that we have rolled it out in, you should assume that it is margin enhancing, and the fact is that we're not exactly sure with regard to the exact margins that we're receiving in each one of them, but you should assume that it is margin enhancing, and very positive from an overall margin perspective. Anything you want to add to that, Paul?
Paul Meyer: I think that's a very accurate summary.
Randall Mays: Mark, just so that it's clear on that last question about the inter-company debt, because I didn't answer it very clearly, the inter-company note matures in 2010. It is callable on a change of control at CCO, and the exact terms and conditions of all that are outlined very clearly in the 10-K and in the S-1 for CCO.
Mark Mays: Great. Well, listen, thank you all, everybody. It is exciting times here at Clear Channel. We're excited about giving you this great report. We're excited about our future. So thanks for taking the time this morning, and everybody have a great day. Thank you.